Operator: Hello, ladies and gentlemen, and welcome to IT Tech Packaging's Fourth Quarter of 2021 earnings conference call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are the company's Chairman and Chief Executive Officer, Mr. Zhenyong Liu and the company's Chief Financial Officer, Ms. Jing Hao. Remarks from both Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its fourth quarter of 2021 financial results via press release on March 15th, 2022, which can be found on the company's website at www. itpackaging. cn. Mr. Liu will start today's presentation with an overview for the fourth quarter of 2021 performance. Then, Ms. Hao will share more details about the company's financial results. Before we start, I'd like to draw your attention to our Safe Harbor statement. Management's prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact and it's announcement are forward-looking statements including, but not limited to anticipated revenues from the Corrugating Medium Paper, Tissue Paper, Offset Printing Paper, and Face Masks business segments. The actions and initiative of current and potential competitors, the Company's ability to introduce new products, the Company's ability to implement capacity expansion, market acceptance of new products, general econamic and business conditions. The ability to attract or retain qualified Senior management personnel and research and development staff and other risks detailed in the company's filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates, and projections about the Company and the industry. The Company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectations, except as maybe required by law. Although the Company believes that the expectations expressed in this forward-looking statements are reasonable, it cannot assure you that this expectation will turn out to be correct. And investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management's prepared remarks. And it is now available for download from the Company's website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measure or EBITDA, or earnings before interest, taxes, depreciation, and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars and all comparisons refer to year-over-year comparisons, unless otherwise stated. At this time, I will like to turn the call over to Mr. Zhenyong Liu, Chairman and Chief Executive Officer of IT Tech Packaging. His overview will be delivered in English by Connie Kao. Connie, please go ahead.
Zhenyong Liu: Thank you, Operator and good morning, everyone. Thanks for joining IT Tech Packaging fourth-quarter 2021 earnings conference call today. I will provide an overview of the company's performance for the fourth quarter and fiscal year 2021. 2021 was a remarkful year for IT Tech Packaging kicked off by a rapid performance. Our business execution was reflected as we achieved a $130.9 million in revenue with an increase of 59% year-over-year and $11 million in gross profit with an increase of 93% year-over-year. Once again, we've demonstrated excellent revenue growth and improved business efficiency in 2021. In fiscal year 2021, we launched a series of initiatives to optimize our revenue structure and diversify our business. We significantly improved our operating and cost efficiencies, reducing ourselves general and administrative expense by 14.3%. While maintaining the solid growth of overall sales volume and average selling prices of CMP product and offset printing paper product. We exceeded our objectives for 2021 and we could not be more excited about the momentum we're carrying into the first quarter and the year ahead. Through continuing expanding our business scale, we are confident in our ability to execute against our long-term strategy, capitalizing on our investments in demand generation, and customer loyalty to accelerate our profit growth. We firmly believe that our business fundamentals will continue to support our leading position in the industry and grow in the foreseeable future. Thank you again for all your calls and attention. Now, I will turn the call over to Ms. Jing Hao, our CFO, who will review our financials for the fourth quarter of 2021. Her review will be delivered in English by Connie.
Jing Hao: Thanks everyone for being on the call. Next, on behalf of management team, I will summarize some key financial results for the fourth quarter and fiscal year 2021. Also, I will occasionally refer to specific production lines associated with their products as we make clear which products I'm referring to. For reference, the numbering system for our production line is provided on slide number 18. Now, let's look at our financial performance for the fourth quarter of 2021. Please turn to Slide number 7. For the fourth quarter of 2021, total revenue increased by 38.7% to $45.1 million due to the increase in revenue volumes and sales volume of regular corrugating medium Paper. Then turning to Slide 8. For the fourth quarter of 2021, the CMP segments, including both Regular CMP and Light-Weight CMP generated revenue of $39.7 million, representing 88% of total revenue. $32.7 million of revenue was from our Regular CMP product and $7 million was from light-weight CMP. CMP segment volume increased by 21.4% to 69,933 pounds. Of which 57,410 pounds were Regular CMP and 12,543 pounds were Light-Weight CMP. Average selling price or ASP for Regular CMP increased by 30.8% to $569 per tonne, and ASP for Light-Weight CMP increased by 32.2% to $558 per tonne. Then moving on to Slide 9. For fourth quarter of 2021, the offset printing paper generated revenue of $3 million, decreased by $1.9 million or 39.2% from the same period of last year. The offset printing paper volumes decreased by 50.5% to 3911 tons. ASP for offset printing paper increased by 22.8% to $759 per tonne. Then turning to Slide 10. For the fourth quarter of 2021, tissue paper products generated revenue of $2.3 million, decreased by $0.4 million or 14%. This resulted from sales of 2,292 pounds tissue paper products with a 27.6% decrease at an ASP of $994 per tonne with an increase of 18.8%. Turning to Slide 11, we sold 3 million pieces of face masks and generated revenue of $0.1 million from selling face masks for the fourth quarter of 2021. Slide number 12 summarizes the changes in our revenue mix. For the full quarter of 2021, total cost of sales increased by $9 million to $40.7 million, leading to total gross profit of $4.3 million, 481.8% increase from the gross profit of $0.7 million for the same period of last year. The overall gross margin was for the fourth quarter of 2021. For the fourth quarter of 2021, SG&A expenses decreased by 12% to $2.4 million, and operating income was $2 million compared to loss from operations of $2 million for the same period of last year. Operating margin was 4.3% compared to operating loss margin of 6.1% for the same period of last year. For the fourth quarter of 2021, net income was $4.2 million, resulting in net income of $0.07 per basic and diluted share. This compared to a net loss of $1.6 million or net loss of $0.06 per basic and diluted share for the same period of last year. For the fourth quarter of 2021, EBITDA increased by $6.1 million to $8.7 million from $2.6 million for the same period of last year. Now, shifting gears to year-to-date financial results. For fiscal year 2021, total revenue increased by 59.4% to $160.9 million as a result of increase in sales volume of CMP and offset printing paper, and increase in ASP of CMP, offset printing paper, and tissue paper products, partially offset by the decrease in sales volume of tissue paper products. For fiscal year 2021, this CMP segment, including both Regular and light-weight CMP generated revenue of $134.5 million, representing 83.6% of total revenue. $111.1 million in revenue was from our Regular CMP product and $23.4 million was from Light-Weight CMP. Volumes for the CMP segment increased by 31.9% to 259,691 tonnes , of which 213,490 tonnes were Regular CMP, and 46,201 tonnes we're light-weight CMP. ASP for regular CMP increased by 28.7% to 520 per tonne. While ASP for light-weight CMP increased by 29% to $507 per tonne. For fiscal year 2021, our offset printing paper segment generated revenue of 17.1 million. We shipped 24,513 towel of Offset Printing Paper and we'll fiscal year of 2021, an increase of 20. 4% from the same period of last year. ASP will Offset Printing Paper increased by 13.4%. Specific contracts, MEGI six per tonne. For fiscal year 2021, tissue paper products generated revenue of 8.8 million, increased by 0.4 million or 4.2%. We shipped 8,255 pounds tissue paper products with an 18.2% increase at an ASP of 1,052 per towel with an increase of 27.3%. For fiscal year 2021, face masks generated revenue of $0.5 million, with sales volume of 12.7 million pieces of face masks. For fiscal year 2021, total cost of sales increased by $54.6 million to $149.9 million, leading to total gross profit of $11 million and an increase of 93.2% from last year. Overall gross margin of 6.9% reflects an increase of 1.2 percentage points from last year. For fiscal year 2021, SG&A expenses were $9.6 million compared to $11.2 million for the same period the last year. For fiscal year 2021, operating income increased from loss from operations of $5.5 million to $1.5 million. Operating margin was 0.9% compared to operating loss margin of 5.4% for the same period of last year. For fiscal year 2021, net income was $0.9 million or $0.02 earnings per basic and diluted share, compared to net loss of $5.6 million or $0.02 loss per basic and diluted share for the same period of last year. For fiscal year 2021, EBITDA increased from $10.2 million to $22.9 million for the same period of last year. Now, moving to Slide 20 and 21. Let's look at the balance sheet and liquidity. As of December 31, 2021, the company has cash and bank balances, short-term debt, including bank loans, current portion of long-term loans from credit union and related party loans, and long-term debt, including loan from credit union of $11.2 million, $13.5 million, and $3 million respectively, compared to $4.11 million, $12.2 million and $4.6 million, respectively, at the end of 2020. Net accounts receivable was 4.9 million as of December 31st, 2021, compared to 2.4 million as of December 31st, 2020. Net inventory was 5.8 million as of December 31st, 2021, compared to 1.2 million at the end of 2020. As of December 31st, 2021, the company has current assets of 55.5 million and the current liabilities of 20.4 million, resulting in a working capital of 35.1 million. This was compared to current assets of $14.9 million and current liabilities of $18.3 million, resulting in a working capital desisted of $3.4 million at the end of 2020. Net cash used in operating activities was $2.4 million for the year ended December 31st, 2020. 2021, compared to net cash provided by operating activities of $15.1 million for 2020. Net cash using in Western activities was $25.1 million for the year ended December 31, 2021, compared to $20.5 million for 2020. Net cash provided by financing activities was $34.2 million for the year ended December 31, 2021 compared to net cash provided by financing activities of $2.1 million for 2020. That's all for IT Tech Packaging fourth quarter of 2021 earnings conference call. I would like to thank everyone for joining us today. If you have any other questions, please contact us through email at ir@itpackaging.cn. We appreciate your interest as fourth in IT Tech Packaging, and look forward to speaking with you again next time. Thank you. Operator, please please go ahead.
Operator: Thank you again for attending IT Tech Packaging's fourth-quarter of 2021 earnings conference call. This concludes our call today, and we thank you all for listening in. Goodbye.